Operator: Greetings, and welcome to the Plug Power Third Quarter 2024 Earnings Conference Call and Webcast. At this time, all participants are in a listen-only mode. [Operator Instructions] A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It's now my pleasure to turn the call over to your host, Meryl Fritz, Marketing and Communications Manager. Please go ahead, Meryl.
Meryl Fritz: Thank you. Welcome to the Plug Power Q3 earnings call. This call will include forward-looking statements. These forward-looking statements include, among others, statements of expectations, beliefs, future plans and strategies, anticipated results from operations and developments and other matters that are not historical facts. We intend these forward-looking statements to be covered by the safe harbor provisions for forward-looking statements contained in Section 27A of the Securities Act of 1933 and Section 21E of the Securities Exchange Act of 1934. We believe that it is important to communicate our future expectations to investors. However, investors are cautioned not to unduly rely on forward-looking statements and such statements should not be read or understood as a guarantee of future performance or results. Such statements are based upon the current expectations, estimates, forecasts and projections as well as the current beliefs and assumptions of management and are subject to significant risks and uncertainties that could cause actual results or performance to differ materially from those discussed as a result of various factors including, but not limited to, the risks and uncertainties discussed under Item 1A Risk Factors in our annual report on Form 10-K for the fiscal year ending December 31, 2023, subsequent quarterly reports on Form 10-Q and other reports we file from time to time with the Securities and Exchange Commission. These forward-looking statements speak only of day in which these statements are made and we do not undertake or intend to update any forward-looking statements after this call or as a result of new information. At this point, I would like to turn the call over to Plug Power's CEO, Andy Marsh.
Andy Marsh: Good morning, everyone, and thank you for joining us today. I'm pleased to share Plug Power's results for third quarter of 2024 and provide an update on the steps we're taking to reinforce our leadership in the hydrogen economy. 2024 has been a pivotal year, a time of strategic consolidation and focused improvement. Through a -- through a disciplined approach to operational efficiency, financial management and technological advancements, we're building a foundation that positions Plug for strong growth and resilience as we enter 2025. Our focus remains on executing our mission while staying in line with evolving governmental policy that continue to support the hydrogen and Plug economy. Plug Power has navigated a dynamic government and affairs landscape over the years to help shape clean-energy policy. We played a critical role in advancing legislation like the investment tax credit under the first Trump administration, a key milestone for our industry. We have been deeply engaged in the development of hydrogen policy with the Biden administration and we do expect that there will be a change in the political climate. This landscape is not completely clear. A positive indicator is that Politico has reported that the new administration is expected to continue to support hydrogen and nuclear power. For Plug, an important near-term consideration is that we expect guidance on the production tax credits soon with more favorable terms to accelerate hydrogen projects will be announced prior to year's end. Additionally, we remain on track with the DOE loan process. Taken together, these policies underscore a supportive foundation for the US hydrogen economy. In Europe, support for hydrogen remains robust. I recently returned from meetings with European partners who are increasingly committed to hydrogen as a pillar of the sustainable energy transition. These discussions reinforce Plug Power's role as a global leader as our initiatives align with European climate goals and economic vision. Returning to our operations, our hydrogen production infrastructure in US is advancing well. Plants in Georgia and Tennessee, along with our joint venture facility in Louisiana are critical to building a secure hydrogen network. Louisiana is currently in the commissioning phase and is expected to be fully operational in the first quarter of next year, further strengthening our supply chain as demand for green hydrogen expands. Globally, Plug's leadership in PEM electrolyzer technology continues to set us apart. With 70 megawatts of electrolyzers deployed this quarter alone, Plug is now the largest single deployer of PEM electrolyzers worldwide. Bloomberg recently recognized Plug as the leading provider of green hydrogen solutions outside China. I also want to highlight that in our application business, we have installed, not yet recognized over 8 megawatts of stationary power systems with Energy Vault and are seeing new growth and new customers in our material handling business. My recent trip to Europe also offered the opportunity to meet with key partners, including Galp, with whom we'll be deploying the world's largest PEM electrolyzer systems starting in April 2025. With Iberdrola and BP, we're moving forward on a 25-megawatt order at their Castellon refinery, underscoring our ability to deliver at scale in international markets. These collaborations, coupled with Plug's 8 gigawatts in basic design and engineering package for the electrolyzer market reflects the strong demand for advanced hydrogen solution and Plug Power's essential role in enabling a global energy transition. EDGAR has been down, but today, we announced a $200 million convertible deal with Yorkville Capital. Under the terms of this agreement, Yorkville is committed to a long position with a conversion price of $2.90 and is restricted from shorting Plug stock. Our focus remains on minimizing shareholder dilution by partnering with investors who recognize the company's intrinsic value. Additionally, we continue to explore debt financing and the sale of ITC benefits to further reduce future equity-based funding needs. In Q3, we reported revenue of $173.7 million, driven by strong demand for our solutions, particularly within electrolyzer and hydrogen infrastructure. Our gross margins rose by 37% quarter-over-quarter with gains across our equipment, service and fuel businesses. We've also reduced cash burn by 27% compared to last quarter, demonstrating our disciplined approach to cash management and inventory optimization. These improvements highlight our commitment to building a financially resilient company prepared to grow profitably in a dynamic environment. As we close 2024, we're confident that the foundation we built this year has positioned us for success. With the strength and balance sheet, strategic global expansion and working to ensure supportive government policy, Plug Power is poised to capitalize on new opportunities in the year ahead. Thank you, and I'd like to turn the call over to Paul for a few comments.
Paul Middleton: Thanks, Andy. 2024 reflects a critical inflection point for Plug and the ongoing transformation of the company. We embarked on a journey a few years ago to significantly broaden our solutions in the hydrogen economy and vertically integrate on our hydrogen supply. We continue to nurture these offerings while doubling down on optimizing the operations and cash management. During Q3 of 2024, we saw a meaningful deployment in sales into the market for many of our new platforms, which has set the stage for continued sales growth in Q4 '24 and '25 onward, in particular, is our launch of a broad range of electrolyzer products. Q3 represents a major inflection point in ramping the electrolyzer business and recognizing the commercial growth in our results. We continue to optimize the first global green hydrogen plant in Georgia, which combined with the Tennessee facility provides us 25 tons per day of capacity and close to half our current annual hydrogen needs and we have made great progress on the third facility in Louisiana that will provide us an additional 15 tons per day over the coming months. We continue to focus on optimizing the workforce of the company. Given the rapid growth over recent years, we had added a lot of resources. And this year, we've worked at optimizing that resource pool to maximize leverage. Since January 1, we've reduced the global workforce by over 15% to the Q1 structuring and ongoing attrition where we've not backfilled. We've completed many rooftop consolidations and have additional warehouses and facilities we are in the process of consolidating to our two main manufacturing sites in Albany, New York, and Rochester, New York. We have adjusted pricing across many equipment, fuel and service platforms for which benefits can be seen in our Q3 results, particularly for fuel and service. These pricing impacts will continue to positively benefit results as the year progresses and we get full periods under these pricing measures. We've increased focus on asset leverage, particularly targeting inventory. We made a lot of investment over the last two years to enable successful launch of these new product offerings. And this year, the focus is on optimizing these resources and we expect meaningful reduction in near term as sales continue to ramp, which will provide a meaningful source of liquidity. Net cash used in operations combined with CapEx is down year-over-year from lower CapEx inventory reductions as well as margin enhancement. We expect the cash burn rate to improve even further over the near term as we continue to curtail CapEx and leverage working capital further and drive additional sales and margin growth. Turning to Q4 and 2025, we remain laser-focused on growing sales and margins, improving cash flow. Our strategy includes beginning commercial production at our new Louisiana hydrogen plant and further leverage of our Georgia and Tennessee facilities, driving more equipment sales given our expanded manufacturing capacity, which does not require more investment and provides us an opportunity to readily source three to four times more volumes, continue driving down cost with further workforce optimization, completing the targeting rooftop consolidation, driving additional leverage on our material vendors and driving enhanced fuel network efficiency and service cost profiles. And lastly, leveraging the price increases and yielding full annual benefits as these continue to expand. In terms of liquidity, our unlevered balance sheet provides opportunities for liquidity from a number of different sources. First, our restricted cash balance continues to release quarterly at $50 million -- at a $50 million rate. We've discussed at length the opportunity to leverage inventory. We're targeting additional reduction of $200 million to $250 million in the near term. Sales growth, price increases, improved mix and continued cost downs will continue to improve operating cash flows. And we've been pursuing varied debt facilities and parties interested in equipment findings that we could expand on the platform like we established earlier this quarter with Antin. Lastly, we're working closely with the DOE to finalize the $1.7 billion loan facility. We've made tremendous progress and we meet with them regularly. We're targeting to close in the near term and we're extremely clear on the access and the process to successfully close this facility. I'll now turn it back to Andy.
Andy Marsh: Well, thank you. I think we're ready for questions.
Operator: [Operator Instructions] Our first question today is coming from Colin Rusch from Oppenheimer. Your line is now live.
Colin Rusch: Thanks so much, guys. Just looking at the balance sheet, guys, can you talk a little bit about how quickly you can start monetizing the inventory here for the balance of the year and into the first quarter next year?
Andy Marsh: Sure, Colin. I'm going to -- good morning. I'm going to turn that over to Paul.
Paul Middleton: Yeah, obviously one core tacit of that is sales. And so you see some of that benefit start to be realized with Q3. And based on our guidance, you can anticipate a much bigger Q4. So we're definitely expecting even more benefit in that reduction in Q4, and we're working with the teams to continue that leverage. We have additional reductions in leverage anticipated for the first half of next year. So you should see continued meaningful reduction in that -- leverage on that in Q4 and onward.
Colin Rusch: Okay, thanks. And then on the restricted cash balances, obviously there's a variety of covenants that I'm sure you guys are working through. Can you just give us a sense of whether any of that restricted cash could loosen up here in the near term or if that is not a real strategy that you guys are thinking about?
Paul Middleton: Yeah, we definitely work in multiple angles on that and there are the routine servicing of those facilities which has our normal reduction releases. We also have a number of transactions we're closing that will release different pockets of those reserves probably a little bit faster than that, in some cases that 50 per quarter. But we're also working angles like what we did with Generate a few years ago where we can actually back-lever that because it's effectively a deferred receivable. So it's a meaningful asset that, parties like Generate definitely see value in it, and we definitely think there's opportunities to factor that deferred receivable effect, it was similar to what we've done.
Colin Rusch: Fantastic, guys, thanks so much.
Operator: Thank you. Next question is from Saumya Jain from UBS. Your line is now live.
Saumya Jain: Hey, you guys. Do you see additional price hikes…
Andy Marsh: Good morning.
Saumya Jain: Good morning. Do you see additional price hikes for the rest of the year or in ‘25? And I guess what are you seeing as your path to positive growth margins, what could drive that?
Andy Marsh: So I'm going to address price hikes. And then I'll let Paul talk about driving to positive margins. I would say that we have had significant price increases with many of our customers. Some of the legacy deals, especially in the electrolyzer business, are almost completed. And all future deals are being priced at a profitable level. I think a wildcard in price increase is for the future will be if there is additional inflationary pressure in the US because of tariffs. So we are primarily a US manufacturing business. It is something we'll be conscious of, aware of if we need to increase pricing because the inflationary environment changes. But at the moment, I think the work we're doing to make sure we price everything profitably, we work on cost reductions, well positions the company. I'll let Paul add on to that.
Paul Middleton: Yeah, and I think Andy touched on a real important point that, as you work through the backlog and you start layering in the new programs that have all been launched with better pricing, both material handling, electrolyzers, and other businesses, that the mix continues to grow and get better and you see more accretion from those events as that happens. But if you look at ‘25 and onward, and we'll be talking a lot about this tomorrow in this symposium, it's the fundamentals. It's sales volume, it's driving down material costs, it's continuing to optimize the workforce, it's all the things that we've done really in material handling, and we're now doing in these new platforms that, those themes you'll continue to see, continued progression in margin and we expect that to see -- we're definitely going to see that. We certainly expect to see that in Q4. And we would expect you're going to continue to see that in Q1 onwards.
Andy Marsh: And, Paul, you saw 37% -- we saw 37% improvement in Q3.
Paul Middleton: Exactly. Yeah. And that's a combination of volume, price increases, leverage of the PTC, a lot of factors that are working towards our benefit. And you see those themes continue into Q4.
Saumya Jain: Got it. Thank you.
Operator: Thank you. Next question today is coming from George Gianarikas from Canaccord Genuity. Your line is now live.
Andy Marsh: Good morning.
George Gianarikas: Hey, good morning, everyone. Thank you so much for taking my questions. Maybe as a first question, I'd love to ask a little bit about your views on the changing regulatory landscape in the United States and how that impacts the way you think about the company sort of at an existential level. In other words, do you see opportunities to maybe grow in other parts of the world and to kind of push the company forward more into Europe and maybe other parts of Asia? Thank you.
Andy Marsh: So I'm going to touch on two layers here. Let me talk about US policy. And there was a -- you probably saw the Politico article about hydrogen, nuclear power, SAF. People expect that to be, continue to have support in the new administration. If you kind of look at the issues, first there are, well, I'll call the regulation, the landscape with PTC. We expect it to lighten up before President Trump takes office. But also, when you look at the Loper decision and you think about what it really -- what the law really says, we expect that there could be greater opportunities with the PTC. Look, oil and gas likes hydrogen. And that has sometimes been a disadvantage for Plug and sometimes been a benefit to Plug. I think when you look at the DOE loan, we have a clear path with the DOE to close that out before changing administration. I'm not going to go into specifics here, but we know the details and the plan. I think when you look at grants, we had a good deal of grants last year, and most of those contracts were, I think the contracts where we are the prime were closed by October 1 for the manufacturing grants. And look, we help create jobs. I also think that we are a US manufacturer who's competing against China around the world. And regardless of one's views of whether there should be a trade war or not, our relationships with the opportunities that being American-made, building American products, hiring American people, work no matter what administration you're pulling out. When I expand the world, if you look at our electrolyzer deployments, most of the activities happening in Europe and Australia. And parts of our -- we have built for our electrolyzer business worldwide capabilities with integrators to build our electrolyzer products, as well as you can see easily our stationary products and even our hydrogen infrastructure. That kind of -- whether it's a Biden administration, or whether it is a Trump administration, localization is important. And look, most of those stacks will come from the United States, but we really do have a international footprint, primarily in Australia. If you look at the 8 gigawatts of basic design and engineering drawings we're working on, most of that works in Europe and Australia. So that's a -- I'm not naive to think that there aren't going to be challenges, but we worked with President Bush's administration, we worked with President Trump's administration, we worked with Republican Congresses, we worked with Democratic Congresses, and we will continue to do that.
George Gianarikas: Thank you. And maybe as a follow-up, can you possibly share some more details on the convert that you referenced during the call? That you filed. Thank you.
Andy Marsh: Sure. Paul, you want to give the breakdown?
Paul Middleton: Sure. We're working on getting it posted on our website for more information and hopefully the EDGAR system gets up quickly that it’ll be public in that form. The net of it is, it's a $200 million unsecured convertible with a fixed conversion price at $2.90, which is close to 46% premium off of where the share price is now. It's 24 months at 6% interest rate. And what I think is really equally important is that the fund has a long view on Plug and has agreed not to short the stock because they certainly have a very positive outlook that, you can tell from the premium they expect where things are going to go with us over this duration. So more details to follow, but those are some of the key details of the deal.
George Gianarikas: Thank you.
Operator: Thank you. Next question today is coming from Eric Stine from Craig-Hallum. Your line is now live.
Eric Stine: Hi, Andy. Hi, Paul.
Andy Marsh: Good morning, Eric.
Paul Middleton: Good morning.
Eric Stine: Good morning. Hey, so when I look at the fourth quarter guide, it seems to me that it's a little wider than maybe it would typically be. Just curious, can you talk to kind of what's in there for the low end, what gets you to the high end. And then I guess my follow-up would just be, I know you had electrolyzer sales in Q2, which, a good portion of those were not recognized, were in Q3, just curious how much of that is left and will impact Q4?
Andy Marsh: So, in many ways, Eric, we're moving -- now we're doing the -- for the electrolyzer products, most of that's been recognized from Q2. There may be some final commissioning activity which may represent about 15%. Maybe one deal that maybe hasn't been. Most of that's been recognized. And, Eric, we expect that the electrolyzer business will be higher in the fourth quarter just because we're now doing the integration and commissioning of products that -- most products which were manufactured in the third quarter and being shipped. So that's -- so when you take a step back about what we expect in the fourth quarter, I think three items come to mind. One is that the liquefier world is a 1-0 world. And in a 1-0 world, we don't really know for -- the probability of an event happening is either 40 millions or zero million. So that kind of drives a certain range in that business. The second item that I -- if you really look at it, the electrolyzer funnel was strong, but as we learn to how we go about recognizing revenue as we did in the second quarter, that is not as large as we thought, even though the activity associated with preparing for the first quarter 2025 is pretty large. We expect, again, the electrolyzer business to continue to grow. And in the apps business, look, material handling is improving. When I look at what we have coming in the fourth quarter, and we expect that we'll be on that 20% to 30% growth path come 2025. That's kind of a summary of what I see, Eric.
Eric Stine: All right. That's very helpful. Thanks a lot.
Andy Marsh: Okay.
Operator: Thank you. Next question is coming from Bill Peterson from JPMorgan. Your line is now live.
Andy Marsh: Good morning, Bill.
Bill Peterson: Hey, good morning, Andy and team. Thanks for providing all the details here. Maybe following on the question on the range of outcomes, I guess within your base case and assuming mix, how should we think about the exit rate of gross margin in the fourth quarter and maybe also taking into account any sort of cost reductions you're able to provide? And then specifically, how should we think about gross margins in your fuel business?
Andy Marsh: Go ahead, Paul.
Paul Middleton: Yeah, appreciate that. So, tomorrow, we'll be giving a lot more detail, Bill, on kind of what we see for ‘25 and onward and give you more color. But specific to Q4, I would say this, we definitely as you can tell expect more sales volume. That helps a lot. We have a lot of capacity and leveraging that will drive better product margins and as we continue to ramp that up. I think, I wouldn't be surprised if it wouldn't be directionally consistent with the kind of improvement you're seeing from Q4 -- I'm sorry, from Q3 to Q2 in terms of directional improvement quarter-over-quarter, could be better at the upper end of that guidance. And specific to fuel, you can see in the numbers that we've disclosed that it's continuing to progress in the right direction. So we still have opportunity to leverage even more out of our facilities that we have. And we're also looking at mixed opportunities where we can even sell more into the direct merchant market at even better pricing. So we're -- and we’re driving even enhanced efficiency measures. And so you should see the combination of additional pricing benefits being, that have come off over the last three months, being recognized in Q4 as well as the benefits and efficiency and leveraging the plants and some of that mix on the fuel side, so it should continue to improve meaningfully in Q4 and then onwards.
Bill Peterson: Yeah, thanks for that, Paul. And then I might have missed it, but I guess to the extent that you can speak to it, how much is left to be done on the DOE loan closing conditions? Is there any sort of long poles, I guess, in particular for Texas? It seems like [nuclear] (ph) is going well, but maybe on the capital side, is there any additional capital on top of what you just announced today? Or is the DOE looking at further contingency or reserve requirements? Just trying to get a sense of what is remaining to be done and what timing you're thinking as of now.
Andy Marsh: Yeah, so, Bill, I'm going to let Paul talk about a process we have going on looking for equity partners, but that is not tied to the DOE loan. And I know everybody would like me to provide detail by detail. All I can say to you is that we know we don't see any tall pole in the tent. We know how to execute against it. We've worked with the DOE on making sure there's a clear schedule of events, and certainly the election in some ways helped to structure a schedule that allows us to get there. I'll let Paul talk about the process. Though we're not dependent upon it, but the process we're using to look to bring in an equity investor also, sit side by side with us at the project level.
Paul Middleton: Yeah, we've kicked off, I think we've talked about a parallel process that looking at strategic and project finance funds and others that could be interested in participating in the capital stack for our pipeline. That's going very well. We've had a number of partners express interest and we're engaging in those dialogues. Actually, some of those partners will be at our symposium tomorrow to learn more about the company and learn more about what we're doing there. So I would say, the theme is that they look at the commercial proposition of what we're doing in Georgia and what we're forecasting to do out of Texas, and that's very attractive in addition to the fact the DOE is postured with this facility to provide incredibly low cost capital for the majority of that pipeline. So that -- those factors, in addition to the success of us executing on delivering on Georgia, all bode well and is what's driving a lot of interest in this to move forward. So very encouraged and we're working hard at bringing all those things to fruition and more to come in the near term.
Bill Peterson: Thanks, Andy and Paul, look forward to seeing you tomorrow.
Andy Marsh: Great. Looking forward to it, Bill.
Operator: Thank you. Next question is coming from Craig Irwin from Roth Capital Partners. Your line is now live.
Craig Irwin: Thank you. Good morning, guys. Hey.
Andy Marsh: Good morning, Craig.
Craig Irwin: Hey, Andy. So I'm going to ask a tough question because I know a lot of the investors out there are really looking at it from the standpoint. And I guess it's best to answer these questions in public when we can, right? So, Andy…
Andy Marsh: Sure, Craig.
Craig Irwin: I hate to be the one that brings this, but it hopefully lifts the dark cloud, right? So in the event that we do not see the DOE loan funded, how much flexibility do you have to sort of restructure the operations and pivot versus the business plan you've been working on this last year? You guys have shown a continuous ability to raise capital, so congratulations on the $200 million this morning. You still have substantial cash tied up from the PPAs. What do you feel about the flexibility to take a slightly different path than what you have already laid out for us?
Andy Marsh: Yeah. Craig, we've obviously looked at different roadmaps. And we -- if you think about the business in '25, and most of '26, whether Texas is online or not is not going to impact our financials. And I can say that there are European funds people who I worked with for a long time who would be interested in being joint equity providers in Texas with us. And look, if you look at Texas, we have the equipment already. It's essentially building out the plant. From a project point of view, it would be much better to have the DOE loan, but there would just be an increased effort and activity to bring in an equity partner if Texas doesn't happen. And look, it doesn't dramatically change the next two years. I think if you take a step back and look where the business growth was this quarter, if I look at over the last 18 months, I've been in Europe for 10 years and I doubled the number of installations in Europe for material handling in the last 18 months. If you look at most of the electrolyzer revenue, it's flowing from international activity. If you look at the growth possibilities, much of it's outside the US and much of it is planned outside the US. And I mentioned on the call earlier, I don't think anyone has the integration capability that Plug has established through our acquisition of folks in the oil and gas industry. We have top-notch integrators in Vietnam. We have top-notch integrators in Dubai. We have top-notch integrators in Europe. So, I think that the pivot will probably have more of an international flavor if the US policy is more negative than we expect. I think I mentioned on the call to the Trump administration was helpful the first time around. I think the overturn of Chevron is certainly helpful. So I guess, been watching elections since 1968 when I was a young kid and it's -- how life plays out is, usually in America things tend towards the middle.
Craig Irwin: I would definitely agree with that. Thank you. So my next question, if we look back in history at Plug, right, to your success -- your early success with Walmart, you would never have been able to have the tremendous success, tens of thousands of forklifts operating every day unless you were able to save your customers' money with these products, deliver reliably in a more environmentally sound package and save them money. Now, in the last several years, we've looked at different pieces of the business model and you've invested a lot of capital in some of these opportunities. Do you still see the same opportunity to save your customers' money in things like electrolyzers, in things like heavy transport trucking and some of these other applications that we've talked about on and off in these last 10 years?
Andy Marsh: Okay. I've let my buddy Sanjay not have to speak during this call. I'm going to give them an opportunity to speak up. All I can say is, I'm going to touch on electrolyzers and I will let you expound. I mean, to me, electrolyzers is all about efficiency of the stacks and construction costs.
Sanjay Shrestha: And price of electricity.
Andy Marsh: And the price of electricity. So I'll let you run on this one, Sanjay.
Sanjay Shrestha: So, Craig, I think your question is the right one, right? There's many instances where we are working on some pretty large mega deals, as Andy referred to on our 8 gigawatt of basic engineering design packet. And the electrolyzer offering is in pretty large scale. And by the way, we're being able to talk and have a very healthy discussion with some of these customers because it's basically for a lot of different kind of hydrogen derivatives, if you would, sort of like, things like E-fuels, ammonia, where electrolyzer combined with the right source of power combined with right efficiency, yes, does allow them to provide a very, very attractive economic value proposition, right? That's item number one. Item number two is when you -- you touched on this a little bit, but let me elaborate on this a bit. So when you talk about sort of the heavy-duty mobility market, we have actually introduced this mobile refueler product, which is a perfect solution because the entire infrastructure of hydrogen fueling actually gets built, right. So it's almost like hydrogen on wheels, if you would, and that's a product that allows them to do a lot of testing faster, allows them to really roll out a lot more vehicle faster even before the entire infrastructure kind of comes into play, right? Then when you start thinking about our liquefier business, while it's been slower, we haven't lost any opportunity really. It's just that project haven't moved faster. And even with that offering, we have one of the best energy efficiency solution in the market. So even from that perspective, as you go from gaseous hydrogen to liquid hydrogen, we're really providing a better economic value proposition for our customer, right? And, Craig, one final thing that I think we'll be able to do here, where we kind of think of this as like a facility sales, where by providing a combination of our electrolyzer, our liquefaction technology, our hydrogen fueling solution, whether it's hydrogen trucks or the storage, by giving all that entire offering as an enterprise sales and a facility sales, we can do a lot of optimization from a design standpoint, really continue to drive the cost and increase economics and benefit for our customer, right? So I think there's a lot of situation where it's really cost savings and a better value proposition for our customer and that's what's going to drive the growth for us.
Craig Irwin: Excellent. Then last question, if I may. There have been some really interesting things that have come across my desk in the last 25 years, right? So green hydrogen is interesting and it looks like it could be a phenomenal business over the next number of years, but something that probably has a much longer gestation period is the use of small nuclear reactors for direct production of hydrogen. Now you guys get approached by pretty much everybody in the market since you are the market leader. Do you see any potential breakthrough hydrogen production technologies that could be available in the next decade that could bring down the cost of energy production by an order of magnitude?
Andy Marsh: Now, that's a interesting question. I'm going to let Sanjay take a shot at it, and then maybe I will add on when you get done, Sanjay.
Sanjay Shrestha: So, Craig, when you start to think very further out, if you would, right, so when we start to -- even before I come to your small module or reactor question, obviously, that's become a bit of a topic to draw here in the near term, right? When you really think about our electric grid, the challenges with our electric grid, right, the amount of the renewables that's already on the electric grid and how we're going to keep adding more of that, right? The pathway to really getting to a grid that keeps becoming more and more renewable is really going to have to go through hydrogen, right, because I think hydrogen can be an energy carrier, it can be an energy storage. Then all of a sudden, when you think about some of the stranded renewables, potentially even at negative clearing price, you've used that to produce hydrogen. Then you put that hydrogen via pipeline or in salt cavern, which by the way, from a cabin perspective, is not that expensive to store that hydrogen and you can store a lot of it, right? Then, you can turn around and use that hydrogen in terms of our stationary product if you would. And by the way, our working view right now is electrolyzer drives a tremendous growth for our company till the end of this decade. And somewhere in that timeframe, our stationary product will start to have a major inflection point of growth, right? So this is where you can actually envision a world where we can really head down the path of almost that 100% renewable electric grid here in North America. Hydrogen plays a major role. Our stationary product starts to play a major role not just for the data center or the EV charging opportunity, but even for the peaker plant, right, even ends up becoming a baseload with the right cost of hydrogen where grid ends up becoming a backlog where it starts to become super exciting. But as it relates to the small modular reactor, Craig, I mean, you know this quite well. From the levelized cost of hydrogen perspective, it's really all about levelized cost of that electricity, right? As scale grows, as there is more and more of that and as the installation becomes larger, scale becomes larger, if the LCOE of that small modular reactor ends up becoming attractive, then certainly could be a very big and an attractive combination between that as well as producing green hydrogen is how we would think about it. Would you like to add anything?
Andy Marsh: Yeah. I would just add, Sanjay, I kind of have a view very similar to you with the world, where hydrogen is being generated when loads -- when they need to put that load on the grid.
Sanjay Shrestha: Stabilizing the grid.
Andy Marsh: Stabilizing the grid, or -- and if you start thinking about where the -- then it becomes a capital cost issue and an efficiency of the electrical -- stack issue. And we do have roadmaps to continue to drive towards that peak maximum efficiency of 37 kilowatt hours per kilogram. And there's lots of R&D and a lot of the work our team does is really how to improve the efficiency of the stack. The other is, how do you make systems, which are Legos, so that there's very, very little construction on site. So I think you'll see learning curves of 20%, 25% for electrolyzers from a total offering when you put construction in sight and improvement in efficiencies and then couple it with the -- how to generate hydrogen of off hours. Coupled with that, Craig, and I mean, Sanjay is dreaming a little here is that driving stationary products efficiency is also, that whole efficiency gain is really the heart of what make electrolyzers work and what make fuel cells work to improve the value proposition to all potential customers.
Craig Irwin: Understood. Well, thank you for that and I look forward to tomorrow. Thanks.
Andy Marsh: Great. See you then, Craig.
Sanjay Shrestha: Thanks, Craig.
Operator: [Operator instructions] Our next question is coming from Dushyant Ailani from Jefferies. Your line is now live.
Dushyant Ailani: Hi, thank you for taking my…
Andy Marsh: Good morning.
Dushyant Ailani: Good morning. I just wanted to quickly ask on the planned maintenance for Georgia and Tennessee. Just given the recent startup, could you just share a little bit about what's the maintenance involved and how do we think about maintenance cadence going forward?
Andy Marsh: Yeah. I think nothing astronomically is surprising. I think like most plants of this nature, we'll have -- I think we had a shutdown in early October for general maintenance, which lasted about a week and we'll have like most folks running facilities of this nature, shutdowns that will last seven to 10 days during a year, probably twice a year. We just got done through one in Tennessee. It was pretty much normal routine. I think the important item is to make sure that, we did this during the Georgia and Tennessee is, make sure we maximize local storage during that time and so that the storage on-site will provide a sufficient backup during the time we're going down for outages.
Dushyant Ailani: Got it. That's helpful. And then just a second one on the ITC transfer monetization. I think you guys have previously talked about roughly $31 million and then I think a total of rough $70 million. just wanted to check on the time of -- the timing of that and how do you see that shaking out?
Andy Marsh: You want to take that, Paul?
Paul Middleton: Yeah, sure. So we're working diligently on it. It's difficult because it's never -- like a lot of things Plug does, it's the first time. It just has taken longer than we hoped but we actually have multiple parties that have expressed interest and we're nurturing those conversations. I think there's still a relatively good chance we can get it done in the coming weeks and there's meaningful additional buckets of opportunity there on the heels of this first one. And we've got one of the top-tier broker firms in the US engaged who handles tax equity monetization for many, many companies that's working with us. So I'm very optimistic that we could do it, potentially even before year end, if not even sooner.
Dushyant Ailani: Got it. Thank you.
Andy Marsh: Thank you.
Operator: Thank you. Next question is coming from Chris Senyek from Wolfe Research. Your line is now live.
Andy Marsh: Good morning, Chris.
Chris Senyek: Hey, good morning, Andy. How are you?
Andy Marsh: Okay.
Chris Senyek: Good. Good. I wanted to just ask about the DOE loan in other ways. Just given the pending change in administration, wanted to get your thoughts on perhaps like the durability of the loan, like do you need to reach financial close in order for it to be considered safe or is the conditional commitment, like, can the conditional commitment be canceled?
Andy Marsh: Yeah. I would just say we are laser-focused with the DOE to close before the change in administration. And from my discussions with the DOE, I feel quite comfortable, but I'll let Paul add anything he thinks we should add.
Paul Middleton: Yeah. I guess I would just say, so the way -- and this is in the words of them with the commitment, the federal government has committed the money to the program. So this is more about execution of the document. It's not necessarily something that's absolute that we have to do it before. But it obviously would be a lot easier and good for everybody to get this behind us. And so it's a meaningful thing for Plug. It's a meaningful for them -- program for them. And everybody is focused on getting this done as quickly as possible and it'd just be in some ways more simplistic for us to get it done quickly. But that -- the critical thing for me is that we're really clear on all of the final steps here and there's a pretty good alignment. And as Andy said, we've got a really good detailed plan with all the final things that have to happen and they're really engaged. I mean, the amount of energy and support they're providing to help us get this over the finish line is magnified and really helpful. So I'm excited and optimistic we're going to get this done beforehand, and we'll continue to provide updates as we see that unfold.
Chris Senyek: Okay. Thanks. And just one more from me. Just -- I know it's probably the last time we're going to hear from you guys before the 45V rules are finalized. On…
Andy Marsh: You'll hear from me tomorrow.
Chris Senyek: Yes. And look forward to seeing you tomorrow.
Andy Marsh: Yeah, we actually have some real experts that will be there tomorrow who are Republican lobbyists and Democrat lobbyists and you'll get to hear from them. But sure, what's the question?
Chris Senyek: Just, like, what would like Plug's ideal final rules be? Is it loosening additionality, time matching, regionality? What would you guys want?
Andy Marsh: Well, we believe as many of the senators who wrote the bill that additionality is not in the legislation and additionality should not be part of the rules and regulations. I think on time matching, we'd be very comfortable looking like Europe where it's 2030, 2032, where it fully takes in. I think that again time matching, it's really questionable whether that was part of the legislation. And I think, regionally, we like to see about four or five regions across the United States and that probably would be the ideal situation. I think our view all along has been the administration should follow the law instead of interpreting positions, which were not part of the congressional intent. So that would be the ideal situation for Plug. And I got to tell you, that's probably one of the reasons, I mentioned that, because of Loper, we think anything that's different probably will be challenged by others.
Chris Senyek: All right. Appreciate the color. Thanks and look forward to seeing you guys tomorrow.
Andy Marsh: All right. See you tomorrow.
Operator: Thank you. Next question is coming from Amit Dayal from H.C. Wainwright. Your line is now live.
Amit Dayal: Thank you. Good morning, everyone.
Andy Marsh: Good morning, Amit.
Amit Dayal: Hey, Andy. So with respect to these 8-gigawatt BEDP contracts that you have, what's the delivery timeline for these contracts, is it like next 12 to 24 months or maybe longer?
Andy Marsh: I'm going to let Sanjay take that, Amit.
Sanjay Shrestha: Yeah. So, I mean, it all varies, right? So I think what you should expect, however, though, and out of that 8 gigawatt, we certainly believe there is more than a gigawatt that likely gets to FID and goes from being basic engineering design packet to actual new orders and bookings sometime in 2025. And keep in mind, we're going to keep adding to this 8 gigawatt. This number is not going to stay stagnant, right? And I'm sure there'll be some that are going to drop out as well, but that's how you should think about it in terms of how this goes from sort of like the front-end study to getting to full FEED study, detailed engineering design, then getting to final investment decision and we've actually identified quite a few of those opportunities that we believe talking to our customer does get to FID in 2025 and becomes a bookings opportunity.
Amit Dayal: And, Sanjay, is that 8 gigawatts, I know it's early stage overall, but is that dependent on any sort of regulatory incentives, et cetera to materialize in a complete manner?
Sanjay Shrestha: Yeah. In that entire 8 gigawatt of basic engineering design packet, I mean, a lot of that, as Andy referred to earlier, right, majority of that is really in Europe and Australia where, so the policy here in the US doesn't really have any interplay with that. We do, however, have about 300 megawatt of opportunity related to the US market. That could actually get pushed to the right or that could actually meet some further clarity. But out of that 8 gigawatt, for example, there is a 3 gigawatt opportunity in Australia. There is another 1.5 gigawatt opportunity, again, in Australia. There's 500 megawatt opportunity out of that 8 gigawatt that's in Europe, right? So most of this mix is really Europe and Australia, if you would, in terms of what makes that up.
Amit Dayal: Thank you. And maybe, Andy, just last one for you from me. Do you see nuclear as a competing energy source relative to hydrogen or should we think about how hydrogen and nuclear can power sort of different applications and be designed for different purposes? How do we see because it's going to take time for nuclear to come about as well. So it's not a near-term threat obviously, but longer term, how do you see nuclear and hydrogen sort of coexisting?
Andy Marsh: I actually see as a good thing. I kind of view them as complementary. Sanjay talked a great deal about the, how to use nuclear power to generate hydrogen when demand is low. Even though with the new nuclear power device issue, we were able to ramp up and down. Certainly, you want to generate as much electricity as you can to support the network. And I think you have a combination of hydrogen being generated off hours, which it was important for us to drive down equipment costs as well as construction costs to make sure that hydrogen is low-cost as possible feeding stationary products, which replace gas turbines to put power on the grids during peak hours. Now, we did a lot of work with one of the leading consulting firms in the world who really believe electrolyzers are the big market opportunity for Plug today and during the rest of this decade. But as those electrolyzers get deployed and as stationary products become more and more efficient, they are the replacement for gas turbines. And I think, we have some activities going on kind of in the '28 type timeframe, which can tap into hydrogen pipelines and data centers. And actually I think that will be kind of the first view of what that world will evolve into. So during the next five years, so electrolyzers for generating hydrogens for substitution in ammonia markets, in refineries, in concrete manufacturing, all work that we're doing today, but ultimately, I'm a real believer in nuclear and it's really nuclear and hydrogen and fuel cells and solar and wind, which make the grid up ultimately.
Amit Dayal: Thank you, Andy. That's all I have. Appreciate the color.
Andy Marsh: All right.
Operator: Thank you. Next question is coming from Jordan Levy from Truist Securities. Your line is now live.
Unidentified Analyst: Hi, all, it's Henry on for Jordan here. Thank you for squeezing me in.
Andy Marsh: Hi, Henry.
Unidentified Analyst: Hi, Andy. Maybe to start with just on the near-term outlook for the material handling business, can you just talk to the improvements you're seeing around kind of customer receptiveness to some of the price increases from the beginning of the year?
Andy Marsh: Yeah. It's always tough to increase prices and we had to increase prices pretty dramatically. But you will see an uptick in material handling business in the fourth quarter. We review it actually twice a week and feel real good about that. And we see a growth of 20% to 30% next year, which Jose and others will roll out during the symposium tomorrow.
Unidentified Analyst: Thanks for that. And then just…
Andy Marsh: Can I -- I should actually add this. We found during this difficult process that our value proposition was stronger than we knew and has been shared with us by customers. And for many of our customers, look, there really isn't an alternative. They move goods more rapidly, bring electricity to buildings, I think everybody know it’s challenging. The backlog on the grid's 3.5 years, the resiliency of our value proposition material handling, after a tough year, we got rid of PPAs, we got -- our revenue probably would have been $100 million higher this year if we would have kept the PPAs in place. But the value proposition is much, much stronger, quite honestly, than we thought.
Unidentified Analyst: Thanks. That's helpful. And then just looking at the path to gross margin positive here, and maybe this is more of a question for next year, but are there business lines you all have looked at or could look at to divest of in the future to kind of further improve cash flow and the margin profile here?
Andy Marsh: We're always looking at the businesses and we've sat down and we've looked at the value and we don't see when you look at the whole spectrum and Sanjay, myself and Paul have spent a lot of time on this over the months. And so the answer to your question directly is, no, today.
Operator: Thank you. Next question is coming from Tim Moore from Clear Street. Your line is now live.
Tim Moore: Good morning. My DOE conditional loan and…
Andy Marsh: Good morning.
Tim Moore: Hey, good morning. I'm actually at the airport coming to your symposium, but my DOE conditional loan and 45 production tax credit questions were already answered, but I wanted to ask based on the election outcome last week, when would you maybe start marketing or targeting oil and gas customers?
Andy Marsh: Well. If you look at our electrolyzer business, I think our biggest customers are oil and gas customers.
Paul Middleton: Absolutely. We already are.
Andy Marsh: We already are. So I mean Galp, Iberdrola, BP, MOL, they're all oil and gas companies and probably a good deal of that eight gigawatts in backlog is oil and gas.
Paul Middleton: And hydrogen derivatives.
Andy Marsh: And hydrogen derivatives.
Tim Moore: Hydrogen derivatives. Okay.
Andy Marsh: So that's our -- so there has been a big, big focus. And I think you touched on a point that the market for hydrogen and green hydrogen today is really -- and this is a positive. You don't have to change your whole way of doing business. It's really a substitution of gray hydrogen versus green hydrogen. And in Europe, there's a goal of 42% green hydrogen by -- to replace gray hydrogen by 2030. And whether it happens by 2030 or 2033, that's really the push.
Tim Moore: Understandable. Yeah, I was just wondering if you're going to target them more because we keep reading about their appetite. For blue hydrogen, I'm just wondering if you're really going to step it up and try to substitute blue hydrogen when you've…
Andy Marsh: Yeah. We are and we're doing it today.
Tim Moore: Good. And the other question I had was on your BEDP of the 3 gigawatts with Australia, the Ally Green ammonia, you put out that nice press release last month about the binding framework agreement that talked about late 2026 or early 2027 for system delivery. Do you think there'd be a sizable amount of revenue recognition that could flow through your income statement in the first half of 2026, given that it's a complicated design package deal with milestones?
Andy Marsh: I'll let Sanjay take that one and see where these -- this is part of what he does every day.
Sanjay Shrestha: Yeah. So first half 2026, probably not a big revenue rec opportunity. It's probably second-half '26 and '27. Just given the size of the project and the scale of the project, there's a decent amount of work that we're both going to have to do, right? So given where we are today, it's probably more second half rather than first half of that year.
Tim Moore: Great. Thanks, and I'll see you tomorrow at the symposium.
Andy Marsh: See you tomorrow. Safe journey.
Operator: Thank you. Next question is coming from Andrew Percoco from Morgan Stanley. Your line is now live.
Andy Marsh: Good morning, Andy.
Andrew Percoco: Thanks for taking the question. Good morning, Andy. Thanks for taking the question. I have a higher level and maybe lot more longer-term strategy question here. And it just kind of -- it's around, the thoughts around some of these new markets like stationary power, on-road vehicles. Obviously, it's been somewhat of a challenge to scale those businesses. The unit economics of green hydrogen has kind of ebbed and flowed depending on prices of renewable electricity, which obviously has drifted higher here over the last two years. I'm just wondering, is there a scenario where you would be okay just kind of going back to your roots and providing the material handling units and maybe meaningfully reducing your exposure to some of these newer fuel-cell markets just in order to kind of get your business and your company back to a point of financial strength?
Andy Marsh: I think, Andrew, you're missing the huge -- in that question, the huge opportunity outside the United States to substitute green hydrogen for gray hydrogen today as well as derivatives like ammonia that -- and methanol that Sanjay mentioned. That market in electrolyzers, just take a look at, we did $56 million in the third quarter. It's going to be higher in the fourth quarter. And that to me is the huge market opportunity. When it comes to the hydrogen plants, nothing works if we become dependent on two companies to provide hydrogen. You're already seeing the value of the hydrogen plants in the financials as the gross margins improved, that's -- we need those plants to make material handling and stationary ultimately work. So I know that may sound interesting, but when you get down to where the markets are growing and the fact that electrolyzers and hydrogen are bigger markets in material handling today and you look at the margin improvements in hydrogen and it's just going to continue to improve, that's not a path we're going down.
Andrew Percoco: Understood. And maybe if you could just elaborate on what global markets you do see the most attractive unit economics for electrolyzers and maybe some of your fuel-cell technologies. I mean, I think we've seen obviously in the US some challenges, but even in Europe, there's been a number of -- some fairly high-profile green hydrogen projects get canceled or pushed to the right a little bit. So I'm just kind of curious where that bullish commentary or thought comes from, what global markets are you seeing that strength?
Andy Marsh: So, Sanjay, you want to take it? I think the 8 gigawatts of BEDP is one example.
Sanjay Shrestha: So, Andrew, again, I think if users start to even think about our funnel, right, that number will be much larger than that 8 gigawatt of basic engineering design packet. So some of the project getting potentially canceled, some of the project getting moved to the right, frankly speaking, given where the state of this industry is, that's not a surprise. But the way we're looking at it is, who are the customers, have they secured offtake, are they going to be able to get financial close, are they going to get to FID, right? And that's the approach we've taken. So when you really look at our pipeline on the electrolyzer side, right, that 8 gigawatt probably continues to grow, some probably will fall off, but we feel pretty good about as I just briefly mentioned earlier, right, like 2025, we certainly expect a pretty big booking year for that electrolyzer business and that mix is going to be Europe and more likely Australia. That's the mix at this point in time.
Andy Marsh: Yeah. I know one customer told us yesterday, Sanjay, that we've been underselling…
Sanjay Shrestha: Our capabilities.
Andy Marsh: Our capabilities when it comes to electrolyzers and hydrogen plants. I mean, it was a large global player. I have another large global player that's in our Rochester facility today. So if anything, we probably -- and we probably -- I think when folks see Georgia, see Rochester, see our integrators in Vietnam and Dubai and Europe, I think they step back and say, who else has the infrastructure and capabilities to support this market growth?
Andrew Percoco: Understood. I'll take the rest offline. Thank you, guys.
Andy Marsh: Okay.
Operator: Thank you. Next question is coming from Kashy Harrison from Piper Sandler. Your line is now live.
Andy Marsh: Good morning.
Kashy Harrison: Hey, good morning all and thank you for taking my question. I just have one. I want to be mindful of the time here. I had a question about the fuel-cell ITC. It expires at the end of this year. And I was wondering if you expect your fuel-cell products to qualify for the tech-neutral ITC or PTC? And if not, just how are you approaching the expiration of ITC in your pricing discussions with customers for 2025? Thank you.
Andy Marsh: Yeah. Good question. And we're probably the only fuel-cell company that can really leverage tech-neutral. It was challenging because the regulations are a mishmash at the moment. But because we have our green hydrogen platform, it puts us in a much better position than any other fuel-cell company. So it's almost like going back to the last question, our hydrogen plants and green hydrogen plants are really important. That being said, we are working and have been working, we think it's good for the entire fuel-cell industry for the ITC to continue. And that there is work that I know there's over 18 Republicans who have signed up, many of them who sit on House Ways and Means to extend the ITC much like they did in 2018 under President Trump before. So important, yes, but we're probably in the only company that -- in the fuel-cell industry that because of what we've done with plants, have the [grasp] (ph).
Kashy Harrison: Thank you.
Operator: Thank you. Next question is coming from Ameet Thakkar from BMO Capital Markets. Your line is now live.
Andy Marsh: Ameet, last but not least. So what you got?
Ameet Thakkar: I don't know about the lease part, but two quick ones. Just wanted to follow up on the convert real quick. So the buyer of the convert, they do have the ability to convert into common shares I guess, monthly. Is that correct? And what are the conditions that they have to have to kind of convert on a monthly basis?
Andy Marsh: Go ahead, Paul.
Paul Middleton: Yeah. So they have the option, if they like over the term to amortize a portion. It's a limited amount per month. If they wind -- if they do elect that option, we have the option to pay them back in cash. If we choose to, we can provide shares. It's not automatic that they get shares. So, they have a long view of Plug and where the stock will go and they're certainly with no short position of clause that reasserts that. We think this will continue to show progress with the gross margin and the growth of the company and -- but they would like that amortization capability as we -- for the duration alone. So it's not a foregone conclusion they will ask for that, but they have that optionality.
Operator: Thank you. We have reached the end of our question-and-answer session. I'd like to turn the floor back over for any further or closing comments.
Andy Marsh: So, thank you for taking the time today, and I look forward to seeing many folks either online or in person at the Plug Symposium tomorrow. So thank you, everyone. Bye now.
Operator: Thank you. That does conclude today's teleconference and webcast. You may disconnect your line at this time and have a wonderful day. We thank you for your participation today.